Operator: Good morning. My name is Ashley, and I will be your conference operator today. At this time, I would like to welcome everyone to the RenaissanceRe Second Quarter 2024 Earnings Conference Call and Webcast. After the prepared remarks, we will open the call for questions. Instruction will be given at that time. [Operator Instructions] Thank you. I will now turn the call over to Keith McCue, Senior Vice President of Finance and Investor Relations. Please go ahead.
Keith McCue: Thank you, Ashley. Good morning, and welcome to RenaissanceRe's second quarter earnings conference call. Joining me today to discuss our results are Kevin O'Donnell, President and Chief Executive Officer; Bob Qutub, Executive Vice President and Chief Financial Officer; and David Marra, Executive Vice President Group Chief Underwriting Officer. First, some housekeeping matters. Our discussion today will include forward-looking statements, including new and updated expectations for our business and results of operations. It's important to note that actual results may differ materially from the expectations shared today. Additional information regarding the factors shaping these outcomes can be found in our SEC filings and in our earnings release. During today's call, we will also present non-GAAP financial measures. Reconciliations to GAAP metrics and other information concerning non-GAAP measures may be found in our earnings release and financial supplement, which are available on our website at renre.com. And now I'd like to turn the call over to Kevin. Kevin?
Kevin O'Donnell: Thanks, Keith. Good morning, everyone, and thank you for joining today's call. Before I begin my comments, I want to welcome our Chief Underwriting Officer, David Marra, to the call. Going forward, he will provide the more detailed commentary on segment performance that I previously covered, and I look forward to his increased participation. Welcome, David. Turning to the quarter. I am pleased to report that RenaissanceRe once again delivered excellent results. We reported an annualized operating return on average common equity of 28%. Notably, the operating return on equity this quarter is almost identical to Q2 last year, but average common equity has increased by two-thirds. We have changed the scale of the company over the last several years, most significantly by acquiring Validus Re, and are proud that this greater scale and diversification continues to reward our shareholders with superior returns. Looking forward, over the remainder of this year and into 2025, I believe these superior returns can persist. It is an exciting time to be a reinsurer and we are confident in our strategy and we trust our execution. As you will hear us discuss today, we are delivering results across each of our three drivers of profit, and believe that we can continue to do so for several reasons. First, property reinsurance rates remain attractive. We led the market pricing reset in 2023 and are confident that the rate strength we are currently experiencing will continue. The market is becoming increasingly stable. Primary companies are adjusting to the new reinsurance market by increasing property rates. This allows them to continue to add limits to their reinsurance protections. Over the preceding year, we estimate that demand for property catastrophe reinsurance limits in the US excluding cat bonds has increased by about $20 billion. This new demand was present at the beginning of the year and accelerated into the midyear renewals. Supply ultimately met this demand but did not exceed it. Second, interest rates have proven to be sticky. And even with anticipated rate cuts will likely remain higher than they have been over most of the past two decades. At the same time, our investment portfolio continues to grow. The combination of increased investment leverage, largely benefiting from our casualty and specialty portfolio and increased book yield are driving compelling returns and benefiting shareholders. Third, our fee-generating Capital Partners business is performing well. We have attractive structures and provide our third-party Capital Partners access to several offerings, all of which benefit from the exceptional talent of our underwriting franchise. This aligns strategy continues to attract capital and separates us from other managers. Our Capital Partners business improves our offerings to customers, enhances our ability to optimize our portfolio and generate attractive fees for doing so. One more reason we are so excited about the future is the performance of our Validus Re acquisition. We have renewed most of the Validus book at this point, and we believe we achieved our most important objectives underwriting, people and capital. From an underwriting perspective, I'm pleased to report that the Validus portfolio has outperformed initial expectations against every relevant metric. We successfully retained the combined book, deepened our partnerships with customers and met our underwriting objectives across both segments. As we have discussed in the past, we understood the Validus Re business very well and there were no surprises, underwriting or otherwise. From a people and operations perspective, we have retained key talent. Legacy Validus employees are fully integrated into our teams and have been making substantial contributions at every level of our organization. Operationally, underwriting systems have been fully integrated since the closing and we are on schedule for integrating our back-office systems. In addition, we have been able to leverage several of Validus proprietary systems and tools to augment our deal analysis and modeling. From a capital management perspective, we have already -- we have already merged one of the two main Validus balance sheets into the RenaissanceRe balance sheet. We remain on track to merge the remaining balance sheet by the end of the year. Together with renewing Validus portfolio onto RenaissanceRe balance sheets, these actions have freed substantial capital and liquidity at the holding company. This provides us with considerable dry powder to deploy into the business and return to shareholders. From my perspective we still have a little work to do in order to fully integrate Validus, but successfully landing the underwriting portfolio was the most important milestone. Bob and Dave will provide additional insights into the success of Validus, but suffice it to say we couldn't be happier regarding our execution on this deal. Shifting now to the midyear renewals which David will discuss in greater detail. Overall, we were pleased with our results and the risk portfolio we constructed. This remains one of the most favorable property markets that I've seen in my career with attractive rates and terms and conditions relatively unchanged. All of which is to say, we are delighted with the state of the market which I believe remains appropriately positioned in the insurance value chain assumes the appropriate level of risk and is being paid attractively for it. Before turning to Bob, I would like to spend a minute discussing how we shaped our risk going into this wind season and how we have enhanced our resilience to loss. To help frame the discussion I want to highlight three main points. First, on an absolute dollar basis our risk is up. As we have grew exposure to Southeast Hurricane largely due to the addition of the Validus portfolio. Second, on a percentage of equity basis, however, we reduced our exposure to loss. And third we shaped our portfolio to steepen the curve further reducing the relative risk we are taking to small events compared to larger events. The first two points are straightforward. We grew because rates were attractive and we can deliver strong returns by deploying capital into hurricane risk even when considering the elevated forecast. At the same time, we grew our equity base substantially which reduced our overall risk on a percentage of equity basis. The more complicated element and the one that added the most alpha to our portfolio relative to the market was our active shaping of the portfolio's distribution of outcomes to decrease exposure to smaller events compared to larger events. We did this using our risk expertise, proprietary tools and flexible capital platform including Capital Partners. This substantially reduced the relative risk to our income statement. At the same time, we shifted the entire risk curve lower, reducing risk to our balance sheet albeit less so than less so than the income statement. These actions benefit you as shareholders because we grew into a strong market reduced your exposure to hurricane loss and optimized portfolio returns over the full distribution of outcomes. I believe that we were uniquely positioned to execute on this strategy and have constructed one of the most resilient portfolios since I started here at RenRe in 1996. In short, if you have the right tools, it's a good time to be a reinsurer. This concludes my opening remarks. Bob will now discuss our financial performance for the quarter followed by David who will provide an update on our segment performance.
Bob Qutub: Thanks, Kevin and good morning, everyone. This quarter we delivered excellent results across all aspects of our business. Operating income was $651 million and our annualized operating return on average common equity was 28%. All three drivers of profit are producing strong sustainable sources of income. Underwriting income was $479 million up 37% from the second quarter of 2023. These were $84 million up 48% and retained net investment income was $283 million up 50%. These increasing earnings across all three drivers of profit are reflected in our operating EPS which was $12.41 per share this quarter up 40% from a year ago. As Kevin explained, we believe that the momentum behind our three drivers of profit will persist and we will continue to generate superior returns for our shareholders. I will discuss our earnings in more detail in a moment. But first, I want to touch on capital management. Over the last several quarters we have been consistently generating profits in excess of what we require to grow the business. We are now at a point in the balances integration where we are starting to free up more of this excess capital. We find our shares very attractive to current multiples. Since the end of the first quarter we repurchased $170 million of our common shares. As we look forward, we are keeping an eye on hurricane season. However, as Kevin mentioned we believe that we will deliver consistent strong returns over the long term. This combined with our leading ability to match desirable risk with efficient capital means that we can capture attractive underwriting opportunities while continuing to repurchase shares at attractive valuations. Turning now to our second quarter results and starting with our first driver of profit underwriting where gross premiums written were up 29% or 36% year-to-date. We have seen attractive risk adjusted returns in property catastrophe and specialty and have grown these classes of businesses by 35% and 82%, respectively year-to-date. Net premiums written were up 29% for the quarter and 35% for the year. Underwriting income for the quarter was $479 million and our adjusted combined ratio was 79%. Year-to-date, we have generated over $1 billion of underwriting income with an adjusted combined ratio of 77%. Moving now to our property segment and starting with property catastrophe where catastrophe gross premiums written were up by 26% and net premiums written were up by 16%. This difference relates to the purchase of additional retro and the increased use of our Upsilon vehicle. So let me tell you I think about this. Year-to-date property catastrophe gross premiums written were up $675 million or 35%. Year-to-date net premiums written grew by 24%, however, on a gross to net basis, which gives effect to our joint ventures, our net retain grew by about the same as our gross. The overall property catastrophe adjusted combined ratio was 25% and included 14 percentage points of favorable development predominantly from the 2021 through 2023 accident years. The current accident year loss ratio was 19%. Events in the quarter including US severe convective storm activity and the Taiwan earthquake had a 10 percentage point impact on this ratio. The acquisition expense ratio was up by about two percentage points driven by the impact of purchase accounting adjustments and reinstatement premiums. Moving now to other property where gross premiums written were up by 22% and net premiums written were up by 24% due to the addition of the Validus portfolio. Other property net earned premiums were similar to the first quarter at $400 million. Next quarter we expect other property net premiums earned to be about of $360 million as the reductions we made in 2023 to our other property book continue to earn through. The other property adjusted combined ratio was 90% and current accident year loss ratio was 62%. The current accident year loss ratio contained a six percentage point total impact from US severe convective storms and the Taiwan earthquake. Current year losses were also higher than expected this quarter due to some non-cat events. Overall the other property book has been performing consistently well and we continue to see an attritional loss ratio in the low 50s. Moving now to our Casualty and Specialty portfolio where gross and net premiums written were up 34% and 41%, respectively. This growth is largely driven by the renewal of the Validus portfolio in addition to some incremental specialty opportunities offset by reductions in professional liability. Casualty and specialty net earned premiums were $1.6 billion, up 52%. In the third quarter we are expecting net earned premiums to be about $1.6 billion. The casualty and specialty adjusted combined ratio was 95.6%. This included 1.5 percentage points of favorable development, which stemmed from our cyber, credit and professional liability books. The current accident year loss ratio was 67.9%. This included a 3.4 percentage point impact from two specific losses within our credit and transactional liability books. Note that the casualty and specialty reported underwriting income of $28 million, which reflects a $41 million reduction due to purchase accounting adjustments. We continue to expect a mid-90s casualty and specialty adjusted combined ratio on average. Moving now to fee income in our Capital Partners business where fee income was $84 million, up 48% from the comparable quarter. Management fees were $55 million, up 27% largely due to growth in daVinci and Fontana. Performance fees were $29 million with a favorable development in the quarter driving better than expected results. These continue to be a stable source of income for us. And in the third quarter we expect management fees to remain around $55 million and performance fees should be in the range of $20 million absent any large loss event. Moving now to investments. For retained net investment income was $283 million, up 6% from the first quarter and up 50% from a year ago. This upside from last quarter was driven by a larger asset base, which is benefiting from higher interest rates. We had $82 million of retained mark-to-market losses in the quarter largely driven by increased treasury rates. Overall, retained unrealized losses in our fixed maturity investments are $214 million or $4.08 per share. Our retained yield to maturity increased to 5.7% from 5.5% last quarter and we have kept retained duration stable at 3.3 years. The net retained investment income return was 5.3%. Since the end of the quarter, treasury rates have moderated a bit and we expect to retain net investment income for the third quarter to be about flat. Rates on our fixed maturity portfolio remain very attractive. Even if future rate cuts are as expected, our portfolio should continue to generate consistent net investment income in the quarters ahead. And finally, turning to expenses, where the operating expense ratio was 4.3%, which is flat compared to the first quarter but down from a year ago. As I've discussed in the past, we expect the operating expense ratio to stay relatively flat through 2024. Corporate expenses were $35 million. This contains $17 million from the Validus acquisition which will continue to taper off through the year. As a reminder, these transaction-related expenses are excluded from operating income. And in conclusion, this was a strong quarter with significant contributions from each of our three drivers of profit. Underwriting income surpassed $1 billion for the first half, management and performance fees were $84 million for the second quarter in a row and net investment income rose again and continues to be a stable significant source of income. And as we look forward, we believe that these superior returns can persist for the remainder of this year and into 2025, and we are in an excellent position to continue delivering superior shareholder value. And with that, I'll now turn the call over to David.
David Marra: Thanks, Bob, and good morning, everyone. As Kevin discussed, our underwriting team has been focused on retaining the combined RenaissanceRe and Validus business at the persistently attractive rates in terms and conditions we have seen over the last two years. With the majority of renewals now complete, we have achieved this goal delivering over $3 billion of well-diversified incremental in-force premium from the Validus portfolio while deepening our partnerships with brokers and clients. This larger diversified portfolio puts us in an excellent position to help our clients manage their biggest risks, while continuing to produce superior returns on the underwriting side. Importantly, portfolio construction is a constant process. Even at our larger size, we remain nimble with a focus on capturing attractive opportunities as they arise and exercising discipline as needed to preserve superior returns for our shareholders. This morning, I will provide more context on market conditions and quarterly performance within our Property and Casualty segments. Starting with Property, where we had a successful midyear renewal. As Kevin discussed, there was significant new demand supply match demand, but did not exceed it. We retained the combined RenaissanceRe and Validus portfolio and have grown Property Catastrophe gross premiums written by 35% year-to-date. This reflects high success renewing the Validus portfolio, which is the largest contributor to our growth and is the most efficient way for us to grow into this market. We also achieved some incremental growth from new business in our US cat book. Our success in retaining the Validus portfolio is consistent between Q1 and Q2. Reported gross premium written growth in Q2 is lower than Q1 because the Validus portfolio was more heavily skewed to 1/1 inception than the RenaissanceRe book. The year-to-date figure is indicative of the overall growth we achieved. We maintained the strong level of rate adequacy that we have been driving since January 1, 2023 and we believe that the market for property catastrophe reinsurance remains highly attractive. Terms and conditions have been stable and retentions have held. In aggregate, we estimate that overall rate was down by about 5% with rate about flat at the bottom of programs and down 5% to 10% at the top. Looking forward to 2025, we expect demand will continue to grow as cedents adjust their reinsurance budgets to prevailing market conditions and respond to inflation of underlying insured values. While most of this demand will be at the top end of programs, it will also filter down through towers. We are in a superior position to underwrite this additional demand for several reasons. First, our flexible platform with owned and managed balance sheets. This enables us to deploy capital at the top, middle and low end of towers providing a single source of large capacity that clients value while allowing us to optimize our net retained portfolio. Second, our risk expertise and the strength and durability of our partnerships, which makes us the first call market for clients and brokers. Now moving to Other Property. As Bob mentioned, there are several events this quarter that drove a higher loss ratio, including severe convective storms in the US and a 7.4% magnitude earthquake in Taiwan. Losses from US PCS events in the first half approached $40 billion, the second highest since 2011. While these nonpeak weather events impacted the primary market, the effect on our portfolio is muted due to the higher rates and attachment points we achieved in 2023 in the Property Catastrophe space. As we have discussed, we believe that the right level of risk now resides with the right part of the capital chain. By and large, insurance companies are working to construct their portfolios to fund these earnings event losses, while reinsurers provide cover for more severe capital-intensive events. The Other Property business was profitable for the quarter and has been performing very well for the last several quarters due to elevated rates and conservative portfolio positioning. While rate increases for cat-driven Other Property risks have moderated a bit, we continue to find the business attractive. Now moving to Casualty and Specialty. The combined RenaissanceRe-Validus portfolio provides us with a larger book of business while maintaining a high degree of diversification within the segment. We enjoy a stronger lead market position and deeper partnerships with clients which will ensure first call status and access to the best risks in the market. The portfolio provides diversifying returns with meaningful contributions to each of our three drivers of profit; underwriting profit with low correlation to natural catastrophes fee income from Fontana, and net investment income from reserves generated by the portfolio. An important part of fulfilling our vision of being the best underwriter is knowing when to grow and when to reduce. Each business within Casualty and Specialty is at a different point in the cycle and we continually manage our participations to achieve the best portfolio mix and balance of risk and reward. We see the entire market and gather data on loss development and claims trends as well as forward-looking exposure. We use this information to select between risks in any one year and also to scale our participations at different points in the cycle. Specifically, we grew our Casualty book in 2020 and 2021 when the return on risk was most attractive. Even though rates were increasing by 50% or more in some cases, we did not lower our reserving loss ratio significantly. This is due to our prudent reserving process, which is structured to recognize bad news quickly and defer good news until the business seasons. In particular, we believe that claims emergence patterns would be volatile following court closures during COVID and that social inflation was likely to continue. Our loss picks are independent from what our clients book and are built up from individual claims data aggregate market data and actuarial judgment. It is still early for these recent years and the business needs more time to season but so far they are developing within expectations. In addition to cycle management and our prudent reserving process, we have made adept use of adverse development covers. This has resulted in our net reserve pool being overweighted towards the more favorable years with about 5% of our total reserves exposed to the casualty soft market years of 2014 to 2018. More recently we responded to a deteriorating rate environment in DNO by decreasing this portion of our professional liability business by a meaningful amount. We continue to see rate increases in general liability. In recent years, rates have been keeping up with trend. Currently on some programs, loss inflation is accelerating. We are incorporating this into our pricing in order to ensure we are differentiating between risks and constructing the best portfolio to maintain profitability in the future. Looking forward the focus of our book is increasingly towards Specialty and Credit where we are seeing the best risk-adjusted returns. Within Specialty, the second quarter is relatively quiet renewal period although positive trends from 1/1 continue with terms and conditions holding and significant growth emanating from the Validus portfolio. In Credit, we continue to see healthy underlying performance. Demand for mortgage reinsurance has declined in line with lower origination volumes, but deals remain attractive and we have been successful at protecting our lead position. And with that I'll turn it back to Kevin.
Kevin O'Donnell: Thanks David. We delivered another excellent quarter financially driven by strong underwriting fee and net investment income. We had solid midyear renewals and successfully retained the combined RenaissanceRe and Validus portfolio while deepening our partnerships with customers. We optimally shaped our underwriting portfolios balance of risk and return objectives. We repurchased our shares at attractive multiples. And lastly, we are confident the current favorable environment will persist into 2025, which will allow us to continue to grow shareholder value at an industry leading -- at an industry-leading pace. And with that, we'll open it up for questions. Thanks.
Operator: Thank you. [Operator Instructions] We will take our first question from Elyse Greenspan with Wells Fargo. Please go ahead.
Elyse Greenspan: Hi thanks. Good morning. My first question is a question on premium growth. You guys emphasized that you're seeing good growth in the legacy Ren as well as in the Validus book of business. From outside the company, when you look at what you guys reported last year, some of the information that we have on Validus from disclosures that are out there I think some of us struggle a little bit to understand the growth in both businesses. Could you just provide some more color to help us understand like the growth that you are seeing in both businesses so far this year?
Kevin O'Donnell: Yes, I'll start and then I'll ask Dave to give some commentary as well. We're proud of the growth that we've achieved. If you go back to 1/1 we increased the expectations for growth from $2.7 billion to $3 billion with upside we have written more than $3 billion. A lot of that as Dave highlighted comes from the Validus acquisition. I think the simplest way that we look at growth is from a year-to-date basis rather than a quarter. So, if you're looking at the year-to-date numbers they're very strong growth percentages, which reflect that $3-plus billion of additional premium. I think the quarterly number is a little bit misleading just because the Validus portfolio was much more weighted to a 1/1 book compared to a second quarter book. And with that the portfolio came on a little quicker than what our own portfolio does. I don't know Dave if you want to touch a little bit more?
David Marra: Yes exactly. We got pretty much every line that we wanted to out of the Vales portfolio. And then as the demand grew we were able to add some incremental lines beyond that. So, we're very happy with the results. The market is very supportive of the larger RenaissanceRe partnership of their business. And that's showing up in fully incorporating the Validus portfolio and also some additional growth.
Elyse Greenspan: Thanks. And then my follow-up is on the Specialty Casualty segment. If I adjust for the 3.4 points that Bob called out, it seems like your accident year combined ratio ex-VOBA didn't really move much year-over-year in that Casualty Specialty book, right? Yet there is a lot of uncertainty right now with economic and social inflation and we're seeing a lot of reserve charges stemming from primary companies. How are you -- I'm just trying to understand, how that's being factored into your loss picks and we just look at that the numbers haven't moved much year-over-year ex the noise that you highlighted on the VOBA.
David Marra: Yeah. Elyse, this is David. I'll kick off on that one. The couple of claims that Bob mentioned that are elevating the current accident year loss ratio are claims and subsets of our major classes which came in this quarter and it led to some volatility. And its normal volatility we might expect in the business. It's nothing that we see as a trend. Overall we are monitoring casualty trend. Like we talked about we -- our current years are reported developing according to expectations and we're confident in our numbers there. We're watching increasing trend in some areas of general liability. Those are localized still driven by the same type of trends that we've observed for several years driven by auto losses some auto losses coming into the umbrella layers. And we're pricing those into our future renewals to make sure we stay ahead of them.
Elyse Greenspan: And then one really quick one, the $94 million of professional lines business you guys called out as a return of premium of some sort. Did that have any impact on the Casualty Specialty margin in the quarter?
Bob Qutub: No. It's not. It's negligible. I mean these are normal adjustments based off of estimates that we have. And what we think the client will actually underwrite for risk attaching. The adjustments tend to happen across all lines of businesses, except when you have large swings or large changes in trend which is what you saw in professional liabilities it was a negative adjustment but the impact on underwriting margin is nominal. It's very minimal. The risk one question Elyse, I'd like to go back on growth. Your comment on year-over-year comparability and the gross written premium with the under Validus' control last year and is under our control this year. There was a difference in how they recognize the quota share on a gross written basis. It was recognized all in the quarter that it was written, whereas we'll recognize it over the course of the year. Is -- the difference it doesn't change the risk and it doesn't change the underwriting margin. It just affects the top line optics and you'll see this year over last year until you get into the fourth quarter of this year.
Elyse Greenspan: Thank you.
Operator: Thank you. We'll take our next question from Josh Shanker with Bank of America. Please go ahead.
Josh Shanker: I'd like to dig in a little bit to David's comments a little bit more and talk about the loss ratio or the current year loss ratio in the Casualty segment, obviously deteriorated in 1Q you had the George Lock, then the Baltimore Bridge Disaster, but we didn't have many items in that this quarter. What's going on the margins there? And is there just conservatism given what we're hearing at other underwriters about loss trends getting worse for recent accident years?
Bob Qutub: Let me try and address that one, Josh. In my prepared comments you heard me talk about while we acknowledge it was $28 million in underwriting income and there was $6 million in the first quarter if you go back and you want to refer to the bridge, included in both of those numbers for casualty was amortization of purchase accounting of over $40 million. And that's why we show an adjusted combined ratio in the mid-90s. That's why it's $95.6 million versus $98 million that's really to show the cash on cash differential. So I would look through and you can probably go back and look at the adjusted combined ratio against the $1.5 billion of net earned premium. That's how you get to that number.
Josh Shanker: And so given that situation in that purchase accounting goes out one year from now it's going to have a step function difference?
Bob Qutub: It will continue to step down each quarter. But by the fourth quarter of next year, we'll come off significantly indeed probably less than half of that.
Josh Shanker: Okay. I'll try and do that math. And then...
Bob Qutub: Mainly in the acquisition ratio.
Josh Shanker: So what about the loss ratio, specifically the loss ratio feels elevated relative to expectations given that there were no casualty cats in the quarter and whatnot. Am I mistaken about that impression?
David Marra: Josh, this is David. You're right, that there were a couple of points like Bob mentioned. It's a couple of one-off claims that are in fall in subsets of our major classes. So there's just inherently more volatility there. Two claims were reported. So we booked those in the current year. It is indicative of the volatility we would expect from time-to-time in the current year loss ratio. And I think one of the important things is there's event-like losses that can happen and then there's shifts in our curve and changes in trend. None of this has changed our curves. These are just single losses in relatively small books of business.
Josh Shanker: Okay. Thank you. Any more color on that would always be appreciated. And then, on the Property business side I was maybe a bit surprised there was any large event disclosure this quarter. And one of the things that was triggered was a number of aggregate covers I suppose, I thought the market was moving away from aggregate covers over the last couple of years. Can you talk about what your appetite is for writing that business and how well priced it is given where it was a couple of years ago?
David Marra : Hey, Josh I can comment on that. This is David. There's very little appetite in the market for aggregate covers. There are some that attach at proper catastrophic levels, but aggregate covers that will provide the earnings level protection that will respond to the smaller caps that we're seeing happen in the severe convective storms and the other things that happened in the quarter those are not really existent to the market these days.
Josh Shanker: But they existed and you have them in your losses in this quarter yes?
Kevin O'Donnell : No. I think -- we called out the Taiwan earthquake and it was an elevated quarter for PCS events, but it's not coming from what we -- what was written in the market in 2022 and prior those low aggregate deals are not a component -- a significant component of the loss that as Dave mentioned is not really something that comes in from the market.
Josh Shanker: It seems like in the press release.
Kevin O'Donnell : No. I know. So some of the Midwest regionals are structured as aggregates, but they're not what would be the traditional aggregate that was exposing reinsurers prior to 2020. They are smallish companies that or -- have an aggregate component to their program but it's not the same low aggregates that were in the market from 2022. These are much more appropriately -- the appropriate level of retentions and narrow -- tend to be more narrow in the geographic footprint.
Josh Shanker: Great. Thanks for the answers.
Kevin O'Donnell : Yes.
Operator: Thank you. We'll take our next question from Ryan Tunis with Anonymous Research. Please go ahead.
Ryan Tunis : Hi. Good morning guys. Just a question I guess on Specialty. So if I look at the current accident year loss ratio over the past five quarters, we've had kind of two different types of quarters. There's three that have been 67 plus and there's two that have been 63. Is it fair to say that the 63 is more of the favorable scenario where you kind of over earn on the Specialty and the 67 is kind of more like the normal with the type of specialty losses over time that you'd expect?
David Marra : I think the range you noted -- Ryan, this is David. The range of note is the normal volatility that can happen with the diversification of the portfolio. There will always be losses that come in some ups and some downs in the quarter some current year some prior year and that range is not something that concerns us.
Ryan Tunis : Got it. And then I guess just for Kevin. Maybe just a little bit more texture on the competitive environment right now in terms of like the type of capital you're seeing coming into the market? I mean, there's a lot of cap bond issuance this quarter. I'm not sure what to read it out. But yes, I mean, how has that been evolving? Or is it still pretty much as disciplined as it's been? Or are you seeing some changes in the capital composition.
Kevin O'Donnell : So the capital is always coming into the industry. We've created a lot of capital that we're happy to deploy into the market. But the -- what I mentioned in my comments we also saw $20 billion of new limit purchased. So what we're seeing is a pretty balanced market between the amount of capital that's looking to be deployed and the demand that's coming to the market. So I think the reset -- and one of the things I think is important to touch on the reset in pricing that happened in is persistent in the market. And like any financial market we're trading around the new level, but we're not on a negative trend back to the 2022 pricing. I think we always watch supply and demand dynamics. And I think particularly in the property cat market it's relatively -- it's in a good state of equilibrium.
Ryan Tunis : And sorry you said in your prepared remarks that terms and conditions were relatively unchanged. If there was any change on the margin what -- I guess, what are you meaning by that? If there was anything that was incremental?
Kevin O'Donnell : Dave, do you want to touch on that?
David Marra : Yes, definitely. I mean, the most important thing is that the retention is held. I mean the retentions are the piece that allows us to continue to construct the portfolio and be removed from attritional losses. And that's the most important thing that we're focused on.
Ryan Tunis : Thank you.
Operator: Thank you. We'll take our next question from Bob Huang with Morgan Stanley. please go ahead.
Bob Huang: Hi. Good morning. I'm going to shift gears a little bit to maybe repurchase really -- so first of all thank you for the opening remark on repurchase. But if I can just dig a little bit deeper on that. A lot of folks are expecting a fairly active hurricane season. It feels a little unusual that you would buy this much shares right ahead of the peak of the hurricane season. Just curious on your tactical approach here. Why not wait until after the hurricane season? And just given the continuous repurchase you're doing so far should we kind of interpret this as a level of comfort you have around your balance sheet? Maybe just a little bit more color on the strategy and the tactics around the repurchase.
Bob Qutub : I’ll point you back -- this is Bob. I'll point you back to my prepared comments. There's a couple of drivers that I tried to highlight is we've had seven quarters of profitable results and that has increased our capital base significantly. So we've had the ability to deploy that capital. So -- and still generate 28% return ROE, which I feel great about. We have been freeing up some liquidity with the integration of Validus and that includes bringing up capital. And so we've seen some attractive opportunities to go back in and buy the capital. As I said in my closing comments in that section was we have the luxury of being able to grow into attractive markets that Kevin and David talked about with also the ability to buy back shares at good value.
Bob Huang: Okay. So there's really no...
Bob Qutub: And nothing's changed in our capital allocation process.
Bob Huang: Okay. No, I really appreciate that. Thank you. That's actually all for me.
Bob Qutub: Thanks.
Operator: Thank you. We'll take our next question from Yaron Kinar with Jefferies. Please go ahead.
Yaron Kinar: Thank you. Good morning. I wanted to go back to growth for a second. And I realize it may be difficult for us as outsiders to figure out what organic growth was like given the maybe different seasonality in the Validus book. But, obvious, I think we are seeing a considerable slowdown in organic and I'm wondering does that tie to your comments about moving maybe to higher tail risk? And if so can you offer us maybe a way to think about more of an apples-to-apples comparison of growth and the opportunity that you're going after in Property?
Kevin O'Donnell: Yes. Thanks for the question, Yaron. The way we think about building our portfolio is, we look at it on a pro forma basis and then try to design a portfolio that has kind of the best set of returns across the full distribution of outcomes. Growth certainly played a big part in that this year. Capital management the way we structured the risk on our partner balance sheets and the way we used our seated. So I would say, there's not a lot that's changed in our appetite for how we've built the portfolio. Your question between organic and inorganic, I think we've been disappointed to say, the size of the portfolio that we would likely create. There's a very heavy overlap between what Validus wrote and what RenRe wrote prior to the acquisition. That's one of the reasons we like the portfolio so much. So I would say that our ability to land $3-plus billion of premium, we could categorize that as more organic growth, because there's always changes across what Validus legacy wrote and what RenRe legacy wrote. But we think it's a cleaner way to talk about it is largely attributing it to the Validus portfolio.
Yaron Kinar: Okay. And then maybe shifting to Casualty and Specialty. I am curious just given the -- let me reframe this. You did mention that the reserve weighting is for the more favorable more recent accident years. That being said, we are seeing some industry pressure emerge for accident years 2021 through 2023, particularly for anything auto-related and then GL. So can you maybe talk about how you're seeing those accident years develop?
David Marra: Yes. Hi. This is David. Like I said in my prepared comments, those accident years are developing within our expectations; they are still green and we need to continue to lift in the season but that's the good sign so far. When we construct our overall portfolio and want to ensure that it's resilient to things like inflation, there are several things that we think about. One we have to construct the portfolio to avoid the risks like commercial auto that are really most in the crosshairs of the plaintiff bar. We also then use cycle management like we talked about in order to have the highest weighted portion of our risk when return on risk is the best. We've used adverse development covers in order to manage risk in some areas and depends also the reserving process. We recognize bad news early, we didn't take down our loss picks significantly even though rates were going up and would have pointed to a potentially lower expected loss ratio. That just leads to an overall stronger pool of reserves, which is more resilient in an inflationary environment.
Yaron Kinar: Okay. And maybe just to clarify, when you say you've not really seen the -- the accident years 2021 through 2023 develop much and they are so green. That's true for GL and any auto-related reserves as well?
David Marra: We don't really write commercial auto. So, it's more liability. Commercial auto would be a subset of general liability but we don't write.
Yaron Kinar: Right. Yes, I was just thinking through excess liability. Okay. Thank you.
Operator: Thank you. We will take our next question from Brian Meredith with UBS. Please go ahead.
Brian Meredith: Yes. Thank you. I'd just clarify quickly. So you didn't have any adverse development on 2020 through 2023 this quarter in Casualty and Specialty?
Bob Qutub: We're going to have puts and takes across the portfolio but nothing significant that was really anything to read into Brian. I mean there's always going to be puts and takes.
Brian Meredith: Thanks. I just want to clarify that. And then I'm just curious, on the Casualty and Specialty I appreciate you calling out the couple of the losses that happened. I'm just curious, when I think of those types of losses would they typically be kind of in your loss expectations? It's the kind of business that you guys write? Or is the casualty and specialty business you've got something that will have these bud force fairly regularly. I'm just trying to understand that a little bit more as to why these are unusual in the business that you write?
Kevin O’Donnell: Yeah. It's a good question. I think there's always an actuarial judgment as to whether when a loss comes in whether it's contemplated in the curve or not. These are kind of weird losses and they're in relatively small portfolios. So when thinking about how we initially built the curves for those the development growth these really were something extraordinary and outside of it. So we decided to book them above the attritional. I don't consider that unusual. And I would say if these were a bigger portfolio and more traditional losses they would have been just absorbed within the attritional.
Brian Meredith: That makes sense. And one just quick follow-up. David, I think you mentioned that the way the Validus kind of renewals happened impact the second quarter. What's going to happen in the third quarter? Is Validus more heavily weighted toward third quarter less? Will that have an impact on growth in the third quarter?
David Marra: Yes especially with reference to property cat the book is pretty much 100% renewed. So the written premium that we see in that percentage growth is the closest proxy for annual.
Brian Meredith: Great. Thank you.
Kevin O’Donnell: Thanks, Brian.
Operator: Thank you. We'll take our next question from Meyer Shields with KBW. Go ahead.
Meyer Shields: Thank you. Just a follow-up on that. Is there any way of quantifying the difference in gross written premium based on the accounting differences that you have with legacy Validus?
Bob Qutub: No, we haven't talked about that. The biggest correction that was made on that adjustment was in the purchase accounting when we started that in the fourth quarter and then into the first quarter. But it would reflect in first quarter for example we have shown a lot higher on the Validus side than we would have shown.
Meyer Shields: Okay. Fair enough.
Bob Qutub: Intuitive if you think about it is, it slower -- those -- if I think about excess of loss that comes in, in the quarter from a written standpoint that it's written, whereas, quota shares come in over time they use the quota shares similar in excess of loss on the written side. It's all lumped into the renewal period.
Meyer Shields: Right. We're just getting a lot of questions in terms of different things in premium production compared to expectations and I was looking for a way of ballparking that? But second question, I guess, Kevin you made some comments about moving…
Kevin O’Donnell: One thing I'd say we haven't changed our accounting that's the way we've always done it.
Meyer Shields: No I completely understand. I was hoping to go a little deeper to your comments about maybe moving away from some of the lower layer risks in terms of expected returns that are there and maybe how impactful that is on potential premiums as this new approach is implemented?
Kevin O’Donnell: This is the part about the premium?
Meyer Shields: Yeah. So as you move away from those risks presumably the change in approach I mean some premiums that we had last year are not going to manifest this year?
Kevin O’Donnell: Yeah. So there's they'll start kind of at the industry level and then to our execution. As Dave commented on 2023 retentions increased pretty substantially and prices increase. Both of those provide a buffer to the income statement because risk is more remote and we have more premium to cover for when losses emerge. Our portfolio shaping then, which really came in with regard to using different vehicles, so we deployed Upsilon to a greater degree this year. That comes through ceded premium. We upsized our ceded from where we originally had targeted in our first pro forma. And then the balance of risk between us and our partner balance sheets more broadly was optimized to again steepen the risk curve so that if there's smaller events as I highlighted we will have a lower market share compared to larger events. And that's what we mean by steepening. So the income statement will have a lower percentage market share exposure than the balance sheet, but both are down from a percent of equity basis.
Meyer Shields: Okay. Understood. Thank you so much.
Operator: Thank you. We will take our next question from Charlie Lederer with Citigroup. Please go ahead.
Charlie Lederer: Thank you. So one large broker recently noted in the insurance media that reinsurers might be willing to write lower down layer at 1/1 in property and in specialty effectively starting to provide some earnings protection there. Can you talk on whether you're seeing that in the market being discussed and maybe whether your appetite may change as well given the more diversified book of business and third-party capital?
Kevin O’Donnell: Yeah. I think buyers would like to have lower retention. So there's always from a brokerage perspective an opportunity to sell something there. I think the market -- if there are lower layers sold the market will be disciplined. So I'm not particularly concerned about an overall shift to the retention levels that were available in 2022. There's buydowns on programs. We're happy to look for them. And we also have different vehicles that might be a better home for it rather than our own balance sheets. I wouldn't say we're seeing that actively at this point but there's always conversations about where the retention is. And I think the brokers seeing that as an opportunity where they potentially have an opportunity for some growth there. Dave, if you would add anything?
David Marra: No. I agree. I think most of the demand will come as new top layers and we continue to expect that to happen. We're able to play across the spectrum. So we have capital for the top layers and then we're able to optimize our network position throughout the tower as that suits us.
Charles Lederer: Got it. Thanks. And I guess different question. Just if we look at the operating noncontrolling interest that you disclosed in the sub kind of as a percentage of operating income, it seems like that was at the lowest level I think it's been since you began disclosing this. Can you talk about what's driving that or if there's anything underlying that that's notable?
Kevin O'Donnell: That's a comp. NCI is always a little tricky. I think this has to do a little bit with our sessions or the risk sharing we're doing with some of our third-party capital partners particularly daVinci. But why don't we come back to you on that. That's kind of a technical question for us to kind of wrestle through.
Charles Lederer: Okay.
Operator: We will take our next question from Mike Zaremski with BMO. Please go ahead.
Mike Zaremski: Hey thanks. Good morning. Back to the commentary you gave on demand in the US for limit. I guess, if we just think about the current inflationary environment on personal lines for example there's still teens increases a lot of labor inflation. So it makes sense you're kind of talking about from an outlook viewpoint that demand remains healthy in '25. Can you -- you said in demand in the US went up by $20 billion I believe. Can you give us what the denominator was? And so like, do you expect the pace of demand to actually increase potentially in '25 when we think about those dynamics or maybe some perspective around the actual demand growth versus historical? Thanks.
Kevin O'Donnell: Sure. The -- so I think the demand has been a bit of a seesaw coming back where market hasn't been able to -- do they have more desire to purchase cover than they had wallet to purchase it. I think as rates are coming through on the primary market, we're seeing people being executing on their desire to purchase more limit. It's been very constructive for us with particularly top layer and premier. You've also seen elevated cat-bond issuance as well. I would say that the market in the US for property cat limits probably just above -- just right around $160 -- $160 billion. So it's probably what's at a 15% growth rate or something like that.
Mike Zaremski: Got it. Okay. That's helpful. And switching gears to investment income. And I hope this is a fair question, but if I look at the guidance you guys gave on the call last quarter, you talked about retained investment income being relatively flat. It wasn't flat, it went up despite I believe yields going down a bit since you gave that. And maybe something you can -- I know you're giving flattish guidance again for next quarter. But maybe you can just describe what caused it to be up this quarter.
Bob Qutub: Thanks. I think I tried to cover that in my prepared comments. The asset levels have grown and with the higher rates we were able to achieve $15 million -- $10 million, $15 million more on the retained investment portfolio plus a little bit of mix change, but the duration stayed about the same.
Mike Zaremski: Got it. So it's the asset side that you didn't guide you that we. Okay. Thank you.
Operator: Thank you. We'll take our next question from Andrew Kligerman with TD Securities. Please go ahead.
Andrew Kligerman: Hey thanks for getting me in. Quick follow-up on Brian's question earlier on Casualty. It was an interesting response. You said there were weird losses in relatively small portfolios. Any chance you could give a little texture on the types of planes and the limits that you paid out on those claims?
Kevin O'Donnell: Yes. I think that's more detail than probably makes sense. What we're trying to give is an understanding of how the business is performing. If you look at our casualty portfolio, there's GL there's some big lines in there that are relatively homogenous and then there's transactions that come up for people who are trying to come up creative products and build portfolios. The -- and one of them was really in that category. It was an emerging business where we were working with them to come up with a way for us to provide some capacity to see if the market would develop more broadly. So a very small portfolio and unique loss and an unfortunate loss in an area that we were looking to see if we can make the pie bigger for the reinsurance market and sell some additional types of coverages.
Andrew Kligerman: Okay. Thanks for that. And maybe more broadly in topic. Any way to -- and you have such a broad casualty portfolio, but any way to kind of get a sense of the average limits that you're writing and maybe the range of limits?
David Marra: Hi. This is David. I'll take that one. So we write a broad spread of casualty across general liability and professional liability. A lot of that business is quota share. So if an insurer puts out a $10 million limit, and we have 10% of that, then we have $1 million on each of their risks. It's a portfolio that had a lot of that in it and then gets aggregated up, like Kevin said, into homogenous groups that all that then can be tracked all as one. When we look at this, when we make those risk decisions, we're seeing the entire market, and then we're building up our view of risk both on the top down and bottom up and then placing our bets or constructing our portfolio in order to have the highest return on risk. So it's less about any one limit, and it's more about how we structure the portfolio within a class and over time.
Andrew Kligerman: Okay. Thanks a lot.
David Marra: Thanks.
Operator: We'll take our next question from David Motemaden with Evercore. Please go ahead.
David Motemaden: Hi. Thanks. Good morning. Thanks for squeezing me in. I just was hoping you could elaborate a little bit on the Casualty book and how closely you guys have been working with the cedents just to stay up on loss activity and actual to expected within those portfolios? Any changes you've made just given the distortions in the environment would be interesting to learn.
Kevin O'Donnell: Definitely. It's a great question, and it's part of what we do in our day-to-day underwriting process, we track actual versus expected. We also are able to benchmark clients' data against the whole market. And that is an advantage we have over, say, an insurance company that may only have access to their own data, we see the entire market and collate that data and then develop our independent view. It is really an essential piece of how we think about scaling our participations over time and then picking between risks. And that's shown up in things like avoiding commercial auto, the recent reductions in -- as the rates have reduced, that's a portfolio shift that we've made and things like that as a constant part of the underwriting process.
David Motemaden: Got it. Thank you. And then maybe just lastly, you spoke about having a higher dollar value of Southeast wind risk but lower on a percentage of equity basis. Could you just talk about why you're not willing to take that up on a percentage of equity basis, if returns are so solid? Is that just more active management ahead of a potentially active wind season? Or some color around that would be helpful.
Kevin O'Donnell: Yeah. I think it was -- what we're trying to do is get the best set of returns across the full distribution of outcomes. We actually had more success than we anticipated in some of the retro purchasing that we had. So in looking at that, we were able to kind of leverage into a steeper curve, which I think a small piece of this would be our thoughts on an active wind season, but it didn't hurt to think that the income statement a little bit more protected going into what's an active season. But it really was about our ability to see transparently how the book we're writing and the things that we're using to hedge it can shift the curve and look at the returns across that distribution. So it's very small pieces, it is the elevated frequency expected and a big piece of it, it was a way to shape the portfolio to enhance returns.
David Motemaden: Understood. Thank you.
Kevin O'Donnell: Actually, I think we can come back to Charlie's question from earlier regarding the NCI.
Bob Qutub: Yes, Charlie, I think going back to the NCI. Look, nothing's changed in our relationship with any of our vehicles. We still have the same principles in which we match the risk with the capital that, that JV is subscribed to. Actually, like, for example, when you look at DaVinci, they've actually benefited from the profitability that we've seen in the low catastrophe environment. We've seen the NCI that accretes to our joint venture partners has actually increased, like DaVinci's increased from -- by $225 million to $300 million. And you can see in the supplemental, went from $59 million year-over-year to $150 million year-over-year quarter. So the value proposition for our joint ventures has been reflected as well as what you've seen in our results as well.
Operator: And there are no further questions at this time. I'll turn the floor back over to Kevin O'Donnell for any additional or closing remarks.
Kevin O'Donnell: Thank you for joining today's call. Hopefully, what came across is our excitement and enthusiasm for the portfolio that we create and the opportunities for continued strong performance. So thank you for joining the call, and we look forward to speaking to you next quarter.
Operator: Thank you and this concludes the RenaissanceRe Second Quarter 2024 Earnings Call and Webcast. Please disconnect your lines at this time, and have a wonderful day.